Operator: Good day, and welcome to the Mitek's Second Quarter Fiscal 2017 Earnings Conference Call. At this time, I would like to turn the conference over to Mr. Todd Kehrli, MKR Group. Please go ahead, sir.
Todd Kehrli: Thank you, operator. Good afternoon and welcome to Mitek's second quarter fiscal 2017 earnings conference call. With me on today's call are Mitek's Chairman, President and CEO, Jim DeBello; and CFO, Russ Clark. Before I turn the call over to Jim and Russ, I would like to cover a few quick items. This afternoon, Mitek issued a press release announcing its second quarter fiscal 2017 financial results. That release is available on the Company's website at www.miteksystems.com. This call is being broadcast live over the Internet for all interested parties and the webcast will be archived on the Investor Relations page of the Company's website. I’d like to remind everyone that on today's call, management will discuss certain factors that are likely to influence the business going forward. Any factors discussed today that are not historical facts, particularly comments regarding our long-term prospects and market opportunities, should be considered forward-looking statements. These forward-looking statements may include comments about plans and expectations of future performance. Forward-looking statements are subject to a number of risks and uncertainties which could cause actual results to differ materially. We encourage all of our listeners to review our SEC filings, including our most recent 10-K for a more complete description of these risks. Our statements on this call are made as of today, April 27, 2017 and the Company undertakes no obligation to revise or update publicly any of the forward-looking statements contained herein, whether as a result of new information, future events, changes and expectations or otherwise. Additionally, throughout this call, we will be discussing certain non-GAAP financial measures. Today's earnings release and the related current report on Form 8-K describe the differences between our non-GAAP and GAAP reporting and present the reconciliation between the two for the periods reported in the release. With that, I’ll now turn the call over to Mitek's CEO, Jim DeBello.
James DeBello: Well, thanks, Todd. And good afternoon, everyone. And thanks for joining us. I'm happy to report the best quarter in Mitek history. We achieved record revenue and profits and our result show the growing success of our business strategy to capture the ID verification market. Mitek delivered over 50% ID bookings growth and added several new customers for our ID products in the second quarter. Also, as we announced earlier this month more than 1.5 billion checks with an estimated value of more than a trillion dollars have been deposited using our industry leading mobile deposit solution. We estimate that over 80 million consumers use our mobile capture technology. Mitek is clearly the undisputed leader for mobile check deposits and ID scanning. Our profitable recurring revenue business and mobile deposit has created a superb launching pad to capture the explosive growth in global identity verification. The world isn't getting any safer. Governments across the globe are mandating customer identification programs. Our ID solutions are playing a key role globally in the digital transformation of banks, lenders, credit card issuers and payments processors. In addition, we are experiencing demand from sharing economy companies and the healthcare and travel industries as they address the acceleration of mobile commerce. These companies are using our ID solutions to address the increasingly urgent and growing needs to comply with demanding regulations, while simplifying enrolment among new mobile customers and these customers must be identified, which is driving demand for our identity proofing products. In fact, two separate industry reports recently issued forecasts that the global market for consumer identity and access management services will exceed $10 billion in 2017. Identity proofing represents over a third of this market and is growing at double-digit rates. Importantly, the reports highlight that banking and financial services represent the largest industry vertical consistent with Mitek’s focus and customer incumbency. Our momentum and identity verification for financial services continued in Q2 with the addition of several marquee brands. These included, a leading global investment banking and wealth management firm, the Canadian subsidiary of a major global retail bank and one of the nation's top lending platforms. This lender is among the largest retail mortgage originators and non-bank consumer lenders in the US. In addition, several top European banks expanded their relationships with us by adding new products and services, and outside a financial services we gained new customers in both the sharing economy and healthcare segments. In addition to our direct sales force, we’ve expanding our sales channels through this year's operating objectives. During our second quarter we signed an important partnership with Experian, a global information services group with nearly 20,000 employees and operations in 40 countries. And we also signed a deal with Atalian [ph a leading provider of solutions to the European telecom market. By integrating our identity authentication technologies with these partners, we can expand our business more rapidly into verticals we are currently not broadly addressing, including vertical such as government and security markets. Meanwhile, we remain focused here on further expanding our sales within financial services verticals where these organisations must comply with ever increasing knowing [ph] a customer in anti-money laundering regulations. Digital transformation comes with a price. Billions of mobile transactions increased risk and fraud. Our identity pooling solutions are designed to make the mobile channel secure for consumers and businesses. Mitek’s Mobile Verify enables financial institutions to instantly verify the authenticity of an identity document using the latest artificial intelligence and machine learning techniques. It ties the person to the document by asking the consumer to take a selfie and then compares the selfie to the photo on the consumer's ID. This enables the customer to prove their identity digitally without needing to appear in person. Let me give you a couple of examples from ID wins this quarter. Number of leading digital lenders will be using Mobile Verify to pre-sale loan application forms and confirm the identity of the applicant. Their investment in our technology allows them to comply with KYC regulations and reduce the risk of fraudulent loans. As regulators have tightened identity requirements worldwide. Atalian, a leading mobile virtual network operator in Europe is offering our identity solutions to the telecom market to streamline the consumer registration process for pre-paid mobile phone SIM cards. It's this type of fast and accurate ID verification process that we believe is the key to protecting businesses, reducing their costs and unlocking revenue for the digital channel. Earlier this month we announced another patent, this one covering the ability to use a mobile devices RFID reader and camera for ID verification. This enhances our strong technology market position by combining RFID and computer vision, we can compare and verify that the printed information on the ID matches the data encoded in the embedded RFID chip, further increasing confidence that the identity document is authentic. Mitek is a global market leader identity verification because we offer the best user experience, the best coverage, speed and accuracy. We've been using artificial intelligence to develop algorithms for image recognition and analysis for more than 20 years. All together, we hold 29 patents all related to capturing and processing documents with an additional 16 patents pending. And today, our scientists and engineers are focused on a subset of AI called Machine learning, and put simply, machine learning enables computers to learn without being explicitly programmed. Therefore our platform is continuously learning from the millions of ID documents it processes monthly. This means that Mitek;s cloud ID document authentication platform is able to continuously learn and keep current with all new versions of Ids across the globe, providing our global customers unparalleled and accurate digital identity proofing capability. Our mobile ID verification products squarely address a large and growing consumer identity and access management market. We believe they will continue to be a significant growth driver for Mitek for this fiscal year and beyond, as companies increasingly look to deploy ID solutions to help them optimize the digital channel to save compliant new customer on-boarding, payments and authentication. Unlike other cloud businesses, we have an advantage. Our mobile deposits business where we continue to dominate in this large and growing market gives us incumbent customers, market learning’s and operating leverage, which we can invest in our cloud ID verification business, while maintaining profitable company operating performance. While consumers love the convenience and ease of use of mobile deposit, financial institutions love it even more as it's one tenth of the cost, processing a check inside a branch. And it’s a driver of higher customer loyalty. This same type of ROI is experienced by our ideal customers who desperately want to move from paper based verification to digital. As financial institutions continue to spend marketing dollars to drive their customers to use mobile check deposits, Mitek continues to benefit from this push to the lower cost mobile channel. While adoption and usage of mobile check deposits continues to grow, still only 4 out of 10 online customers in the US have deposited a check via a mobile device according a recent Futurion study. So we still have substantial room for growth and we expect this growth to be driven in part by increasing demand among businesses. Research conducted by the association for financial professionals revealed that 51% of B2B payments continue to be made by check and that B2B check usage has actually been increasing in recent years. Now one exciting way we're focused growing commercial mobile deposit is through our recently announced agreement with SAP Ariba. Leveraging on MiSnap Mitek captured mobile deposit applications, SAP Ariba aims to empower more than 2.5 million businesses connected to the Ariba payment's network to deposit checks anytime, anywhere using an IoS or Android device. We're eager for the millions of companies on the Ariba Network to experience the value that comes from a mobile check deposit solution that's optimized for business and we anticipate launch of the solution later this year. Mobile deposit and its continued growth has laid the foundation for Mitek to establish itself as the leading provider of mobile ID verification solutions and we are successfully executing that plan. With our market momentum and experience, customer incumbency, technical superiority and solid balance sheet, we have affordable competitive advantage and are well positioned for continued growth this year and beyond. Now with that, I'll turn the call over to Russ to discuss the financial results in more detail.
Russell Clark: Thanks, Jim. And thank you, everyone for joining us this afternoon. Let's start with revenue and operating results. Mitek generated total Q2 revenue of $11.4 million dollars, a 34% increase year-over-year. Q2 revenue included $1.7 million of ID SaaS revenue, up 41% year-over-year increase. In Q2 SaaS bookings and transactional volumes both increased more than 50% year-over-year. We achieved GAAP net income in Q2 of $1.2 million or $0.03cents per diluted share and non-GAAP net income of $3 million or $0.08 per diluted share, representing our 12th consecutive quarter of non-GAAP net income. Q2 software revenue of $7.8 billion was up 40% compared to revenue of $5.6 million in the year ago quarter. This growth was driven by mobile deposit revenue, which included three channel partners ordering over $1 million of mobile deposit transactions during the quarter. We maintain strong software gross margins at 98% for the quarter. As a reminder, our services revenue includes transactional staff’s revenue from our cloud ID products, maintenance revenue for on-premise mobile deposit and ID software licenses and consulting revenue for both mobile deposit and ID. Q2 services revenue of $3.6 million increased 22% over last year's Q2 revenue of $3 dollars due primarily to growth in transactional SaaS revenues for our mobile ID products, which also increased 44% percent sequentially to $1.7 million. The sequential growth is fuelled by a wide range of increasing transactional volumes from customers, including a payment processor, a digital ID provider, a credit bureau and a mobile and online provider of credit scores. I would like to remind everyone that the majority of our SaaS revenue is pay as you go revenue that is recorded based on transactional volumes process and billed each month. This revenue is subject of fluctuations depending on volumes in any given period. However, as the mobile ID verification market continues to mature, we are signing a much higher mix of contracts with transactional minimums. So we expect the mix as SaaS revenue with minimum commitments to continue to increase over time. All that said, I am very pleased to see year-over-year and sequential SaaS volume increases in Q2. Q2 services gross margins remain consistent at 81%. Total Q2 operating expenses including cost to revenue were $10.2 million compared to $7.9 million in the year ago quarter. Q2 selling and marketing expenses were $3.7 million compared to $2.6 million dollars in the year ago quarter and R&D expenses were $2.4 million in Q2 compared to $1.8 million a year ago. Our Q2 G&A expenses were $2.7 million compared to $2.3 million in the year ago period. The year-over-year increases in OpEx reflect our continued investments in sales and marketing, R&D and G&A to grow our ID business. As a reminder, our earnings release includes a reconciliation between GAAP and non-GAAP net income, we believe non-GAAP net income provides a useful measure of the company's operating results by excluding acquisition related costs and expenses, stock compensation expense and any litigation costs related to protecting our intellectual property. In Q2 we incurred $518,000 of acquisition related costs and expenses compared to $541,000 in Q2 of last year. Stock compensation expense during Q2 was consistent with the year ago quarter at $1.2 million. We had no IP litigation expenses in Q2 compared to $114,000 in Q2 of last year. Moving on. GAAP net income in Q2 was $1.2 million or $0.03 per diluted share compared to GAAP net income of $582,000 or $0.0 2 per diluted share in the year ago quarter. Non-GAAP net income in Q2 was $3 million or $0.08 per diluted share compared to non-GAAP net income of $2.4 million or $0.07 per diluted share for Q2 of last year. Our diluted share count for Q2 was 34.8 billion shares compared to 33.1 million shares in the year ago quarter. Turning to the balance sheet. We generated $5.6 million in cash flows from operations during the quarter, bringing our total cash investments balance to $39.9 million at the end of Q2. These cash flow results are due in large part strong collections during Q2. Our Q2 accounts receivable balance of $5.1 million represented DSO of 40 days, which is at the low end of our normal historical levels. Now moving to guidance for fiscal 2017. We are reiterating our annual revenue guidance of between $43 million and $45 million for our fiscal year ending September 30, 2017, which would represent growth between 24% and 30% year-over-year. This guidance is based on continued strong growth in SaaS and other revenues from our mobile ID products, as well as continued growth from Mobile Deposit. Our ID customer acquisition which is going very well is seeing higher than expected demand for SaaS than for on-premise delivery, with 90% of ID bookings year-to-date in the SaaS column. This is a very positive trend for the long-term foundation of our ID products because it further builds the recurring SaaS base. As I mentioned earlier, our ID transactions and bookings were strong in the second quarter both up more than 50% versus the year ago quarter giving us confidence that our ID products are gaining traction. Given this more rapid than expected shift to SaaS for our ID products, we expect the revenue mix for fiscal 2017 to comprise between 30% and 35% from ID products, 60% to 65% from mobile deposit and around 5% from non-core products. Additionally, we are reiterating our non-GAAP profit margin guidance as we continue to expect to generate healthy non-GAAP profit margins of at least 20% for the full 2017 fiscal year. We continue to see strong market demand for our mobile ID proofing products and we continue to invest in this growth opportunity, while still expecting to generate at least 20% non-GAAP profit margins for the full year. We expect Q3 OpEx, excluding acquisition related cost and expenses and stock compensation expense to between $8.5 million and $9.0 million. We expect Q3 acquisition related costs and expenses to be between $500,000 and $600,000 and Q3 stock compensation expense to be between $1.4 million and $1.5 million. That concludes our prepared remarks. Operator please open the line for questions. Operator, are you there?
Operator: [Operator Instructions] And we’ll go first to Bhavan Suri with William Blair.
Bhavan Suri: Hey guys, you hear me okay.
James DeBello: Yes, Bhavan. We can hear you.
Bhavan Suri: Great and congratulations. Really nice job there. So I guess my first question is to Jim maybe, Jim you know you've seen really solid growth on the ID verification product and you touched a number of interesting avenues. I guess if you think about the split you’ve always got the course financial space, I think whole host of other areas, just some sense to sort of how you're approaching it, the go to market and where you think the growth will come from. Is it going to be the installed base of banks or is it going to be easily balanced across the mix of sort of the verticals you’re seeing interest in, whether it's healthcare or other ones?
James DeBello: Bhavan, thanks for the question. We're seeing broad demand for ID solutions. We announced earlier this quarter Synchrony. There are credit card issuer the largest provider of private label credit cards in the US. And similarly we announced MoneyGram earlier and we see a smaller block chain digital payments platforms like Nox [ph] and Crowdfunding source solutions. So we're seeing a broad spectrum of uses in the financial services market, but importantly we're also seeing incoming and inbound leads and opportunities in healthcare, travel and also the shared economy type companies and how we're handling it and pursuing these opportunities is primarily to a direct sales force. We have people who [indiscernible] they are living here in the United States and they're also living in the EU or other primary geography and we're providing direct contact with big banks, big lenders, big payments processors and other major customer opportunities. But importantly Bhavan this really sort of key strategy, we had success with mobile deposit using channel partners tremendous success, and that continues to grow at a very nice pace and we think we can replicate that to enter new and associated adjacent markets with channel partners, Experian being just one of them, Atalian, the other one I mentioned in the call, but we have others in the queue. And this will actually open up the market. What’s interesting about this technology, particularly in the cloud is that we don't need to re-engineer it for every new type of vertical and this really address. This can be deployed similarly and uniformly and not only banks and lenders and credit card issuers, but also the health care travel and shared economy companies. They are all looking for a way to verify identities of their remote and mobile consumers.
Bhavan Suri: Got it. Jim, that’s really helpful. I guess, when you look at the business you know, we've talked about competitor environment before, but have you seen any changes there, anyone coming up with something with a partnering with or absorbing the documents that you are the same pace or being able to do the AI, the machine learning to capture document, are you seeing anything out there that's changed the competitive environment, obviously mobile ID, mobile check deposit is kind of done market, you guys own it and it’s over, but sort of on the ID verification just are you seeing anything new or anyone new potentially compete in that space?
James DeBello: The only thing we're seeing new is our continuing lead as we continue to grab new customers and part of that Bhavan I think is due to the success we've had in deposit. We’re a trusted vendor and we have incumbent customers and frankly we have a very strong balance sheet that gives our enterprise customers confidence that we can deliver and continue deliver innovation. So we have my MiSnap, that's your auto capture capability, that's a consumer experience I mentioned. We have nearly 80 million of our consumers using mobile deposit on MiSnap. We also have the ability now with machine learning and exploring – sorry, expanding on our AI, the ability to have us continuous learning platform. So what we have noticed and this is different, as we have transformed the company, is this a massive transformation towards bookings. And Russ mentioned it, 90% year-to-date. We didn’t expect that when we started out the year and that has great implications for delivering a very current and very secure in a product that is able provide the accuracy and performance that our customers expect. When they hire our product, they are expecting us to deliver high accuracy, but you know Bhavan, there is a lot of documents out there that get changed. We call it churn with regard to the document types, the enhanced security features that some countries or states will include or add. And they don't publish this, they are not telling the bad guys, hey, here's our new document looks. So by having this platform this continuous learning we actually can see if, we can provide a higher level of service and quality to our customers. So we think that's a huge competitive advantage that we're uniquely capable of providing, how like it to exhibit our historical experience on top of our MiSnap platform. So we like our space real well.
Bhavan Suri: Thanks, Jim. That’s really helpful. And then just one quick last follow up for Ross. You know, you obviously have a nice uptick in gross margins. And so I guess rest of my two questions are, one A, is that sustainable, but B, given the commentary about sort of cloud booking and sort of cloud feels like it generally tend to have slightly lower gross margins just because of all the support services involved, you know the hosting and everything else. How do we think about gross margins long-term, say with the mobile deposit stays where it is through partners and sort of license model, but ID verification which should become a bigger part of business ultimately long term has more of a cloud nuance? How should we think about gross margins over the long-term, any color will be helpful? Thanks.
Russell Clark: Yes, Bhavan. Fair question there, 90% percent from gross margins overall are very strong. I think in both the SaaS space and the software space and we've enjoyed that and you're exactly right, mobile deposit has driven a lot of that proprietary technology there. The SaaS margins in general out there in the market are going to be lower than 90% and when we think about our long-term operating model to get back to returning 30% non-GAAP profit margins over the longer term, the gross margin component of that would probably start with an 8, so somewhere in the 80% range. And that's going to allow for two things, a higher mix of SaaS revenue where you have your network operational costs and so forth. And also embedding some other technologies that we may not seek to build ourselves. So we think about our growth strategy here in horizon one, which includes not only identity documents verification and proofing, but also data, device and biometrics. We're working with best of breed third party providers out there to integrate their technologies into our platforms, so we can offer multiple factors of authentication. So real [ph] pace of royalties on that. So 90% has been strong to date. The mix of other third party technologies for other factors of authentication and cloud over the longer term as we approach you know 30% non-GAAP profit margins will be closer to that 80% range.
Bhavan Suri: Great. Thanks, Russ. Nice job again guys. Thanks for taking my questions.
Russell Clark: Thank you.
Operator: We’ll go next to Darren Aftahi with ROTH Capital.
Darren Aftahi: Hey, guys. Thanks for taking my questions and congrats as well. Just - I'm just kind of curious on the - it seems cold prior quarter is back. It was a little bit inverse that mobile ID, more of the deal that was early on were coming on prem. Obviously you're now saying that's kind of shifted to software as a service. I'm just kind of curious is there any mechanic there. Two for Russ, you kind of hire to plan in the quarter or maybe you do under hire. And then I guess last question kind of following up on competitive landscape. I know name from the past, but are you seeing Kofax compared to [indiscernible] in a market for either mobile deposit of ID cash at all? Thanks.
Russell Clark: Sure. So Darren, your questions on the mix of on-prem versus SaaS. Certainly if you go back 12, 18, 24 months when we started getting more traction in ID and we announced some early wins that were outside of the financial services vertical. And I think as we've talked in the past actually the majority of those were on premise. What we've continue to see in terms of trends over the last 18, 24 months is as Jim mentioned we're focused within financial services, but more broadly than just banks. And our experience has been as we're focused in that financial services sector. But we’re working with companies alternative lenders. And you know a lender may provide loan solely via mobile or someone who delivers a credit score solely the mobile. These are very nimble, very technology forward companies and they're very comfortable with the cloud model. So as we focus more in that area we've definitely seen a higher mix of demand for SaaS products such as consistent with the business model of our customers. So that's the second question was...
Darren Aftahi: Just about the hiring plan in 2Q?
Russell Clark: Yes, hi. I'm trying to think of a quarter where we ever hired to the plan. We usually try to stack things out pretty aggressively. Sometimes we get closer than others. I think you know the sequential increase in non-GAAP OpEx that you saw from one to two sort of a similar path is reflected in the guidance from 2 to 3. So we're still chastened about a dozen new heads out there. In the past we've talked a lot about you know the mix of sales and marketing with the direct sales force for ID. We've also been staffing up with machine learning sciences, computer vision capabilities as well. So it's probably an equal, it’s probably actually over weighted toward the R&D side of that mix, although we're still having some sales there. So got to have the best talent out there for machine learning and that's really where our hiring spoke to us through the remainder of the year.
Russell Clark: And Dan let me address the competitive nature of those areas. With regard to mobile deposit, we have noticeably seen a weakening of competition in that space and no new entrants. But we don't take that lightly. We are a leading provider. We do have a very nice market position with 5600 banks and nearly an estimated 80 million consumers, never lost a bank. But we continue to add features and opportunities there. So as an example we announced the American Cancer Society in the cloud. We actually host the mobile deposit function on behalf of the cancer society, so they can collect checks as donations as an example. We just talked about SAP Ariba, now we've enhanced that, enable that with multi check capture. So we're doing a lot of things still and not taking our leadership position lightly in mobile check deposit. And similarly ID, we believe with a continuous learning platform we do things uniquely and have some very, very strong competitive advantages and just to amplify our math, Dan, what’s interesting about this market, its first end gets access and you can see in process a lot of data and from data its continuous learning and network effect, where we get stronger and stronger and as these worldwide global IDs change, as they becomes secure and added the features we're able to diagnose them to verify them and to provide a supportive service, so comparatively we think we've actually strengthened ourselves dramatically within the last six months during this fiscal year.
Darren Aftahi: Great, thanks.
Operator: And we'll take our next question from Mike Grondahl with Northland Securities.
Mike Grondahl: Hey guys nice job on the quarter. And thanks for taking my questions. First off about how many mobile fill in Mobile Verify customers do you have, is 20 to 25 signed up a reasonable estimate?
James DeBello: It’s higher than that. And like we haven't given specific numbers on customer counts for the ID business, but if you think about some metrics such as the size of the sales force and we've commented before that we're running about a dozen photo carrying reps right now going direct for ID products. We've been staffing up there in the last 18 to 24 months and they've been for book productive and they've been signing customers. So we are well north of that market. You know we're in the triple digits in terms of customer accounts that we've been able to bring for ID here over the last couple of years. So hope that gives you some color.
Mike Grondahl: Sure. Sure. And then as those customers are ramping up. Would you say the activity or the transactions are spread fairly evenly or are there a few customers that sort of dominate the transactions at this point?
James DeBello: Mike it's a good mix, so certainly we have our foundation customers you know some of them we – that came along with the IDchecker acquisition which is nearly two years ago now and we've seen a really nice organic volume growth out of those incumbent customers who are doing things like processing payments worldwide and provisioning digital identities. So you can imagine the types of markets, their business activity has increased over that time and we're sharing in that as well. And then newer customers that we acquired, we've seen some great trends there, where customers have come, signed, got live very quickly and scaled up volumes that even surprised us. I mean we had a nice SaaS quarter here in Q2 at $1,7 million, up $500,000 sequentially from Q1 and a big piece of that growth was a newer customer who like I said signed up live and scale very quickly. So I think we have a nice mix of some larger customers but you know in that triple digit number of foundation of smaller customers as well.
Mike Grondahl: Okay. And then on the revenue side I think you kind of called out 3 - approximate $1 million dollar mobile check orders. Did I hear that correctly Russ?
Russell Clark: Yeah that's right Mike. We did have three of our channel partners order more than $1 million of mobile deposit transactions during Q2.
Mike Grondahl: Got it. And is there any risk to the June quarter being sequentially down or I guess I'm trying to figure was there a little bit of pull forward or could it have been lumpy. How are you thinking about you June sequentially?
Russell Clark: Yeah, Mike. Fair question I think if you look where we've ended up here through the year. Take a look at the annual guidance. I'd also consider that there was quite a big sequential increase from Q1 to Q2 revenue. You know strong mobile deposit quarter in the software line there. So big ramp from Q1 and Q2. I mean, you take a look at that we’re up to through the half year and then the guide of 43 to 45. You know I think we're through the half year ahead of where we would be. So I think that in terms of sequential trends from Q2 to Q3 as well.
Mike Grondahl: Got it. Got it. And then I don't know that I heard the reorder number. I know it's meeting less and less, but if it's possible to give us that number of reorders and just the number of banks live that the end of March that would be great?
James DeBello: Yeah, right. So on the reorder side, I think as I said last quarter you know we didn't disclose that. Not as meaningful today because virtually the whole book of business for mobile deposit is reorders. And again those reorders would include new banks, we signed about 100 new banks this last quarter through our channel partners. So we would consider a reorder because an existing channel partner reorder more transactions to fulfil mobile deposit to new banks and the existing ones. So we have to get that reorder figure and again in any given quarter we can have a reorder that's $50,000 and we can have a reorder this over $1 million. So I'm hoping that by providing some metrics as I did with three channel partners ordering more than $1 million in transactions during the quarter that gives you some color there.
Russell Clark: And maybe I can jump in, there a little bit of color as well. Mike it's interesting to see this and we've been a close at this since 2008. We do have a very significant portion of this market and stickiness. The banks continue to advertise this. And so what's happening is, is the continuous increasing demand. And so that's why we have these large doors that came in through over $1 million. Give me an example we have one large bank unnamed, but nonetheless they are very effective marketing, they've spent down nearly a million checks at a bucket piece, it looks like they really walk up [ph]. To find a golden ticket, you could deposit it, this is a method to educate their users and get more adoption. And of course you could win a $100 or even a $1000 deposit in some instances. So it was a very effective means and I really regarded you go on a benefit. So banks are being very creative out there. It is a viral word of mouth market. The convenience is superlative from the consumer's perspective. And banks are actually incenting in some cases their tellers to teach new applicants, new account holders how to use mobile deposits and get them using it more rapidly. So just in terms of demand growth, and so we're seeing the velocity of demand continue to be supported and increase and we think that's going to continue in Q3 and Q4. So we're just pleased this quarter, but we expect it to continue on next to the further quarters. I think you asked how many were live as well. So it's 5600 banks signed in around 5300 of those were live through Q2.
Mike Grondahl: Got it. Great. And then just lastly would you describe the pipeline for new customers is still strong on Mobile Fill Mobile Verify?
Russell Clark: Absolutely. Pipelines are very strong and I think as we commented last quarter and this quarter definitely secular trends in AML and KYC is fuelling the need to prove identity and identity documents. So we're definitely in a good market position from that perspective. So pipelines are good.
James DeBello: Yes. And I would add also mentions the secular trends and we may not emphasize that enough. Most definitely regulatory compliance restrictions are becoming more severe. It's largely driven by the bad guys out there both in the fraud and money laundering, moving money around globally and then some of the activities we've seen unfortunately in Paris and throughout the world, the stop is not stopping. It's making people more concerned. But in the meantime the other secular trend is more mobility. So how do you address. And that's where we come in. And so we really think that these trends are very powerful. We're in the right place early in market and having this advantage of being in market with a platform that continuously learns that makes us really very strong and in a very attractive vendor to these big businesses that are global. You know that we're primarily focused in North America and the EU including the UK. So that's our primary areas that we are receiving demand and interest from other parts of the world Asia-Pacific, as well as Africa. So this is a global initiative and maybe deposit is a domestic initiative and that's the fundamental difference and mobile deposits on premise and ID is rapidly becoming in the cloud.
Mike Grondahl: Got it. Congrats on that 34% top line growth. And thanks, guys.
James DeBello: Thanks, Mike.
Operator: Thank you. [Operator Instructions] We’ll go next to [indiscernible] with BTIG.
Unidentified Analyst: This is Avan on for Joe. Thanks for taking my questions. Most of them been answered. Just a couple of quick ones for me. First, could you talk about the split in demand for that 50% bookings growth between the U.S. and Europe, where are you seeing sort of the majority of demand for the business?
James DeBello: Yeah we're seeing a good mix. I think it’s traditionally from a revenue perspective, we've been around 15% outside the U.S. But with a lot of these KYC and AML friends over in Europe our bookings mix has been probably double that in terms of new bookings that most of the 30% outside the U.S.. So again strong demand upon as well.
Unidentified Analyst: Great. And I know you talked about more contracts having transaction minimums. Could you also give the split or at least talk about I guess the split between contracts that currently have transaction or just those that don't. And is there any possibility for I know it's still early in a product is there any possibility on the contracts that don't have minimums to maybe renegotiate when they come up for renewal you know moved those customers out to minimums? Thanks.
James DeBello: Sure. So as I mentioned in my comments the majority of the revenue coming through today doesn't have minimums and that's really a function of sort of the legacy contracting processes and the decency of the market for some of the installed base. So it's not it's not a huge majority it's probably you know closer to 60% range. So the majority in there was out. Certainly as I mentioned also the deal that we're seeing more recently or booking more recently as the markets matured and there's more company out there with identity proofing at the document level. Customers are more willing to sign up to minimums and maybe get a little bit of a price break for signing up for multiple years. So the majority of the new deals that we've been signing the last few quarters have had minimums and I think your last question yes there is absolutely room on some of the larger customers that have been on that platform for a few years now and maybe our pay as you go to get them signed up for minimums and we’ve done that in a couple of cases that I can think of here in the last six to 12 months.
Unidentified Analyst: Okay great. That's it for me. Thanks.
James DeBello: Okay, thanks. 
Operator: And that concludes our question-and-answer session. I'd like to turn things back to the company for any closing remarks.